Executives: Michelle Jones John W. Prosser - Principal Financial Officer, Executive Vice President of Finance & Administration and Treasurer Craig L. Martin - Chief Executive Officer, President and Director George A. Kunberger - Executive Vice President of Global Sales and Marketing
Analysts: Jamie L. Cook - Crédit Suisse AG, Research Division Matthew Rybak - Goldman Sachs Group Inc., Research Division Andrew Kaplowitz - Barclays Capital, Research Division Vishal Shah - Deutsche Bank AG, Research Division Brian Konigsberg - Vertical Research Partners, LLC Michael S. Dudas - Sterne Agee & Leach Inc., Research Division John B. Rogers - D.A. Davidson & Co., Research Division Tahira Afzal - KeyBanc Capital Markets Inc., Research Division Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division Will Gabrielski - Stephens Inc., Research Division Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division Stewart Scharf - S&P Capital IQ Equity Research Steven Fisher - UBS Investment Bank, Research Division Robert F. Norfleet - BB&T Capital Markets, Research Division
Operator: Good morning, and welcome to the Jacobs Engineering first quarter of fiscal 2014 earnings conference call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Michelle Jones, Vice President of Corporate Communications. Please go ahead.
Michelle Jones: Thanks, Laura. Statements included in this webcast that are not based on historical facts are forward-looking statements, as that term is defined in the Private Securities Litigation Reform Act of 1995. Although such statements are based on management's current estimates and expectations and currently available competitive financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause the actual results of the company to differ materially from what may be inferred from the forward-looking statements. Words such as anticipate, estimate, expect, seek, intend, plan, believe and similar words are intended in part to identify forward-looking statements. Some of the factors that could cause or contribute to such differences are listed in the company's most recent annual reports on Form 10-K for the period ended September 27, 2013, including discussions contained in Item 1, Business; Item 1a, Risk Factors; 3, Legal Proceedings; and 7, Management Discussions and Analysis of financial conditions and results of operations contained therein, and other documents the company files from time to time with the United States Securities and Exchange Commission. For a further description of the company's risk factors, that list is not all inclusive and the company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements that are discussed on this webcast. With that, I'd like to turn the call over to John Prosser, EVP, Finance and Administration. Thanks, John.
John W. Prosser: Thank you, Michelle. Good morning, everyone. I'll briefly go over the financial highlights for the quarter, and then I'll turn it over to Craig Martin, our CEO, for a review of the business and the quarter. Turning to Slide 4 in the presentation. As reported last night in the earnings release, we did end up the quarter with $0.71 on a diluted basis. This is obviously down from last quarter, as we told you last quarter. Typically the first quarter of our year does come down anywhere from 5% to 10%, just because of the seasonality of the holidays and some other factors. This quarter was obviously -- had a number of -- couple of other significant items in it. One was the closing of the SKM acquisition, which we talked about in the press release between the operations that we had for 2 weeks, which was probably the worst 2 weeks of the year from a holiday and vacation standpoint and operating standpoint for SKM, and also the closing cost and such that had to be put through the financial statements, they contributed about $0.10 net loss after tax. Going the other way, we did have favorable tax settlements in one of our foreign operations. This was the favorable tax to our court ruling and so that had about a positive $0.05 between the reversing of the tax accruals and also the interest accruals. So those do have opposite [ph] effects. But even beyond that, the typical calendar quarter ending in December with the holidays, vacations, some of the winter weather that impacts some of our field services activities, particularly around the Christmas holidays and such, had a negative impact. One other unusual item that we don't usually have in that quarter is we also had the government shutdown. And while that was not as big of an impact as it might have been because we were able to mitigate much of that impact, it still did have a negative impact on the quarter. So we talked about having an impact of about $0.10 to $0.15 in this first quarter. There were pluses and minuses in there. The SKM closing cost were a little bit higher than what we originally anticipated in that range. Some of the other things were the impacts of summer vacations. Having Christmas on Wednesday turned out to be even higher than usual impact because of, I guess, more and more people took the full week off because it's right in the middle of the week. And that also had impact on our billable hours as we saw more of our billable people also taking vacation than maybe normal. So while the results aren't something we'd like to see, we don't think they're indicative of certainly the whole year, and I think they are pretty much in line with what we've kind of anticipated going into the quarter. Backlog at the end of the year and in the end of the quarter was up to $18.1 billion, which is a nice growth both quarter-over-quarter and year-over-year. Included in that is about $800 million of backlog that came in from the SKM acquisition. So even without that contribution, that onetime uplift, we saw a modest increase in the backlog. Our trailing 12 book-to-bills was 1.15. We continue to have a strong balance sheet, even with the $1.2 billion that we spent. In fact, our cash at the end of the quarter was just over $1 billion. Our debt obviously grew from last quarter. It was just over $1 billion as well. So our net cash was slightly negative, but actually during the quarter, we had pretty good cash flow because we spent between debt and cash. We spent over $1.2 billion to buy SKM, and our cash position actually improved when you take that out of the equation. We are maintaining our guidance at a range of $335 million to $390 million. That guidance includes SKM and all the activities that we had here in the first quarter. So we expect to be in that range, and that's the same guidance as we had going into the first quarter. Moving on to Slide 5. Just earnings history, we've changed this graph a little bit from what we've done in the past to show what the impact of our guidance is and where that would fall as we look at the whole year rather than just looking quarter-over-quarter. And still, we feel comfortable that we're moving back towards maintaining that growth rate and the plus or minus 15% compounded growth on our earnings. Moving on to Slide 6. Backlog as I said, nice growth year-over-year partially due to the addition of SKM, but overall, still trending up and heavily weighted towards professional services. Virtually all of the backlog that came in from SKM would be in the professional services category just because of the types of business they're in. And while we -- year-over-year our field services backlog was pretty flat, quarter-over-quarter was down a little bit, but that's probably more typical of the fourth quarter, calendar quarter, because the people are not making a lot of decisions around the holidays and such like that. So with that, I will turn it over to Craig to review the quarter.
Craig L. Martin: Thank you, John, good morning, everyone. Now we'll start on Slide 7. You've seen this slide over and over again. Nothing about it has changed. I'll talk about the first 4 bullets in a little more detail. On the cost side, we continue to do a good job of controlling our costs, and our cost position remains at a nice advantage for us. Moving on to Slide 8. This is our relationship-based business model. We think this is an important aspect of the way we do business, and in fact, represents a significant difference for us from most of our competitors. We really do focus on long-term customer relationships and repeat business. We think by doing that, we can get repurchase loyalty, and that will drive steady earnings growth, good solid growth for us as a company. It's kind of a virtuous circle, when you think about it in terms of how it works. In the fourth quarter this year, our repeat business was 96%, so I think that's a good measure of what we're accomplishing in terms of making that relationship business model work. Moving on to Slide 9 now. This is sort of how the markets, sort of, it is how the trailing 12 [ph] of the markets looks. You can see that the process business -- share of our business grew just a little bit by about 1%. The public and institutional share declined by about that same percent. Industrial was roughly flat as the share of the business, but mining and minerals grew about 1%, and sort of all other category, power, pulp and paper, et cetera, that dropped about 1% over the previous quarter's results. Moving on now to Slide 10, we'll take a look at each of the individual market areas one by one. So starting with public institutional. We're considerably more upbeat about this market as we look forward than we were a year ago. I think we're doing extremely well as a company across this market in terms of our ability to win work and grow our market share. And we continue to believe that's going to be a positive for us. There's some good news in the market as well. We're starting to see movements in investments. Let me talk about each of those individually. Starting with the national government's business. It is clearly improving. Now that we have a budget that provides some funding certainty, that positions us very well. And the good news is that the money is going where we provide a lot of services. So we're very upbeat on our ability to continue to capture share there, grow our position in the markets, and now we have some stability on which to leverage that. So that's good news. We're also seeing a lot of activity in the U.S. military work, particularly around the Asia Pacific basin. We think there could be as much as $43 billion of new investment there, and that's a positive for us as well. Certainly our SKM acquisition will be a contributor to that. In fact, I'll talk a little bit more about SKM in a minute. We also see a lot of activity in the nuclear cleaning up part of the world. There's more than $1 billion worth of remediation projects here in North America. And of course, the nuclear cleanup in the U.K. is very robust. You might have noticed during the quarter we made a small acquisition in the U.K., a company called Stobbarts. That really helps us position for full EPC services to the nuclear industry in the U.K. So we think that's going to be a nice little addition, one of those niche acquisitions that we talk about a lot. Moving on to infrastructure. That is, in fact, becoming a strong market again. We see lots of prospects in all the geographies we serve. And on a real positive note for us from a legacy Jacobs perspective, both North America and the U.K. are strengthening. A lot of water projects out there, a lot of activity in Asia Pacific, and we see something on the order of $70 billion worth of infrastructure-related projects in the Middle East. So I think there's some real positives there. We also see tremendous opportunity in telecommunications and gas distribution business, another area we made some niche acquisitions, FMHC in the telecom business and MARMAC in the gas distribution business. Both of those are positives as we see it in terms of helping us leverage and grow that business. And then in the Buildings business, there are just a lot of good activity particularly in the technically complex buildings that we favor. So things like scientific facilities, laboratories, healthcare, all very strong. And then of course the high-tech market, data centers, control and operation centers and the like remains very strong. The outlook still is for about $80 billion in investment by the end of the decade. SKM's going to be a significant factor here. Obviously, they didn't contribute much in the 2 weeks around Christmas. But as we look forward, there's a very strong position there, a lot of recent wins in SKM's background. We expect the combination of Jacobs and SKM in this space will materially increase both our global leverage and our local market position across these industries. So a big plus for us as we go forward. You can see backlog is up a little bit quarter-over-quarter and up substantially year-over-year in this public and institutional space. Moving on now to Slide 11. This is our industrial sector. Let me talk about these markets individually. Pharma Bio is getting better. The product pipeline has some mixed results by company, but there is enough good new programs out there to drive investment, especially in the biotech world. That's a strength for Jacobs. We have both the knowhow and the geographic reach to serve our customers wherever in the world they need to make those investments. And increasingly, we're seeing those investments in places like India and Asia. You can see from the note there, an increase from something on the order of $16 billion to something on the order of $50 billion just in the next 5 years. Mining and minerals is growing. It's growing for us and the good news is, we think the industry is seeing the market come back a little bit. Commodity prices are firming. People's expectations about where commodities would go, particularly iron ore and gold, haven't come through. The copper supply situation remains a concern, and so we're starting to see people contemplating real projects again. And so the big projects business, it looks like it may be coming back, probably not a big factor in fiscal '14, but certainly could be a significant factor as we move into '15. What will be a factor in '14 for us, and we're doing quite well, is in this whole area of continuous presence. I told you last quarter about the wind at Calama in Chile. We are now leveraging that into a number of other relationships. And we think this business of being able to do all this small caps, sustaining cap work is going to be a very significant lever for us as we go forward. And then having the capability to provide all of the required infrastructure for our mining and minerals project, both the buildings and infrastructure capability, the materials handling capability and the minerals processing capability is huge. As a result of the SKM acquisition, Jacobs has become the dominant player in the mining and minerals industry in South America and in Australia. And I think it won't be long before we're the dominant player globally. So a real positive aspect of the acquisition. In the Pulp & Paper, power, high-tech, food and consumer markets, it's mixed. Of course, it's a mixed set of markets. There's a lot of alliance work for us. So that's going quite well. There's a fair amount of upgrade in facility kinds of improvements. We think the CapEx could be in the $5 billion range over the next 12 to 24 months, and we are managing to grow a share of the power market. Again, SKM's a real positive for us. It brings some real strengths in geothermal and hydro. So we think we're going to be able to see some leverage in our power business. It still is an area where we would like to be able to find an acquisition for greater growth, and I'll talk about that in a minute. Looking at the backlog numbers, up a bit quarter-over-quarter, mostly as a result of SKM, still down year-over-year. Part of that is just what's happened in the industry in terms of where the projects are. But a part of it's also is we move to more services rather than project events. We're going to see less revenue per dollar of margin, and so the impacts will tend to be lower revenues in backlog, even though we think margins will continue to grow. So that'll be a little bit deceptive until the big project part of the market comes back. Moving on now to Slide 12, the process industries. These are really strong markets today. The business grew, as I mentioned already, 1% share of our overall CapEx. We saw lots of activity in refining, oil and gas and chemicals. Particularly strong this quarter in chemicals, so the outlook is very positive. Look at the individual markets in refining, a lot of activity. The U.S. is likely to become an exporter of refined products. A lot of activity in Europe as a result of upgrades and trying to make those refineries more efficient. And then new CapEx, particularly in Asia and South America, is going to be a big factor. Brazil alone may have something on the order of $90 billion of refining investment. We announced the Guimar acquisition during the quarter. That's about 1,000 people in Brazil, and we think that gives us a very strong position to leverage our relationship with key customers in Brazil and grow that business. We don't want to forget Tier 3 gasoline. There's still something like 85 refineries that require upgrades for Tier 3 gasoline. I think that's going to be a program that spreads out over the next 2 or 3 years. Those projects are ideally suited for us. They tend to be in the $200 million plus or minus size. So that's a plus. Oil and gas, again very strong market. Global spending is up. Again, North American CapEx looks like it's going to be $100 billion. A lot of our key clients are the ones making the investments, so that's a plus. A lot of activity in gas monetization. And while that's not really our focus, it generates a lot of peripheral work. And all of that fits us very well. So we think that the oil and gas business is going to continue to be a strong area for us and an opportunity for us to drive increased growth. Brazil's also talking about becoming a major exporter, and that makes that EMR acquisition fairly key there as well. And then the chemical business, I mentioned already we had several significant awards under the quarter, none that we've been given permission to announce, but it was a good, strong quarter in the chemicals market. There is ongoing expansion pretty much everywhere in the U.S. regarding this. We heard a little bit about some project cancellations of some very big projects, but frankly, there's more work out there than the industry can do. And I anticipate, I think everybody does, that this is going to be a continuing strong growth area. And we continue to see lots of new FEED and pre-FEED work, and we're also starting to see now a few projects go into execute phase. So they are in fact, getting released so that we can do the work. The backlog story here, obviously, is quite good: 17% up year-over-year, 7% up quarter-over-quarter, 38% up over the past 2 years. So clearly, the strength in the process markets is one we've been able to take advantage of, and that's a real positive for us as we go forward. Moving on now to Slide 13, acquisitions. We've talked a lot about the SKM acquisition and its importance. We talked about Guimar. We also -- I mentioned briefly a couple of the niche acquisitions. I think niche acquisitions are going to continue to be important to us. There were several of them this quarter. I think we'll continue to see that. A couple like MARMAC and FMHC are in markets where we think there's going to be very significant growth, so very small acquisitions, we hope, will give us very strong leverage. In terms of looking forward, we're going to continue to look for opportunities to grow the business geographically. Asia Pacific still has lots of opportunity in it. South America has lots of opportunity in it. We also think we're going to work hard again, as we have for some time now, in both oil and gas and power markets, try to find the right kinds of acquisitions. If there are major acquisitions, that's where they're likely to come from. Moving now to Slide 14, this is kind of that commercial that I gave you at the end. We think that we have a great track record as a company. We've got a unique and powerful business model. We're very diversified across geographies, markets and services. We got a great balance sheet and a strong cash position. Our cost position gives us a good competitive advantage. And I think, importantly, the markets are going our way. So for some time now the process business has been strong. It continues to be strong, and we're winning good projects in that market. The public and institutional markets are rebounding nicely, and we see a lot of growth opportunity. And the industrial markets, mostly focused on pharmaceuticals and mining and minerals, are showing some good solid upward movement. In particular, mining and minerals looks like it's on its way back. I think that's a big positive for us in the industrial marketplace. So overall, I think it's a good story. We've got a great outlook and a great set of prospects going forward. With that, Laura, I'll turn it over for questions.
Operator: [Operator Instructions] And our first question comes from Jamie Cook of Credit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: A couple of questions. John, just on the guidance, I understand the puts and takes of your first quarter. But to get to the midpoint of the range, it implies, I think, like, 18% EPS growth and the remaining -- if we look at the remaining 9 months of the year versus last year. So can you just help me with your comfort level that you could get to the midpoint? Is it more top line versus margin and any incremental details you can give us on just how accretive we should think of SKM in terms of accretion-related SKM now that the deal's closed?
John W. Prosser: Looking forward to the next 3 quarters. Certainly, SKM is going to be a part of that. As we said in the press release, as we have been saying, it's going to be accretive. This first quarter is not indicative at all of anything about their operation. Part of that cost was based on the bunch of holidays and vacations and such. And the closing cost, which for the big part of it, are not indicative. The closing cost won't be continuing, and the operations we see as being nicely additive. They're all incorporated. I'm not going to give any specific cents per share and such, but I think, particularly as we look out to the third and fourth quarter, that'll be where the biggest part of the strength comes and -- that's more from our side, the legacy business just because we are seeing ramp-up. And as Frank mentioned, in all the process industries that we're having good sales in the government business, good prospects, the new budget that was passed is net positive, I think, for even the short term, as well as the long term. So I would say, as we always say, the midpoint of our guidance is where we have the biggest comfort. And from that, it's called bell curve as we go through either side. So I think we wouldn't have the midpoint where it was if we didn't think we were pretty confident that, that was the highest probability.
Jamie L. Cook - Crédit Suisse AG, Research Division: And I guess, I mean, last quarter when you first provided guidance, you said if there were 2 areas of the upside, I think you named government and SKM as one of them. It sounds like the government side, you're incrementally a little more positive on and SKM maybe more 2015 in terms of things turning. So just -- I want to make sure I heard that right. And then I guess, my question is just the field services book-to-bill was pretty disappointing. I mean you've had first quarters before where the field services book-to-bill has been like this, but I mean is that something to be concerned about? Do you think that turns positive next quarter?
Craig L. Martin: Jamie, this is Craig. With respect to the field services thing, we continue to have a business where we are very flexible with our clients about whether we do contracts, sub-contracts and procurement on their paper or our paper. And that has a profound impact on backlog and an insignificant impact on gross margins. So for example, a couple of the 3 big bookings, big for us in terms of what we think their impact on gross margin will be that took place last quarter, we did not put any significant field services in the backlog because we don't yet know whose paper the contracts will be on. And so if we were to make -- if the customer and we were to make decisions to put it on our paper, these are sizable jobs, you can see hundreds of millions of procurement and construction go in the backlog. If we decide to put it on their paper, you'll see none, and yet our margin pull for those projects will be virtually identical. So it's going to be a little less predictable and a little more lumpy, I think, in terms of field services content, except where we do direct hire than has been in the past, okay?
John W. Prosser: To your other question. We think the contribution from SKM is going to be -- starts now. I mean...
Craig L. Martin: Yes. No. But I think she was talking more to mining and minerals side of things.
Jamie L. Cook - Crédit Suisse AG, Research Division: In terms of the upside.
John W. Prosser: I think, yes, the mining and minerals, just like ours, is a little bit longer term, but we are seeing positives there. The government, which we talked about possibly being a headway I think. Certainly we -- it looks like we've gotten over one of the cautions that we had, which was a budget, getting a budget and facing another shutdown right here in the first quarter. So yes, we had that hurdle out of the way, so that's got to be a positive. Certainly it's not a negative, so I guess that makes it a positive. We still have a couple of other things like debt ceilings and things like that, that could get into some impasses, but I think at least one negative is behind us on the government side.
Operator: And our next question will be from Jerry Revich of Goldman Sachs.
Matthew Rybak - Goldman Sachs Group Inc., Research Division: This is Matt Rybak on for Jerry. My first question, just maybe walk us through how you're thinking about the current pace of bid activity on U.S. infrastructure projects and possibly quantify for us the opportunities you may pursue over the next 6 to 12 months.
Craig L. Martin: Probably can't quantify it any meaningful way, but it's really clear that some of our traditional markets, so things that are funded by user fees. Rail would be a good example of that. Water and wastewater would be a good example of that. Now those markets are -- have been on their way back from some time now. I think we've told you the last couple of quarters that those were already positives and they continue to be. What we're seeing now though is with some certainty in the budgets, with some what I'd call tepid recovery in tax revenues at the state and local level, that road and bridge infrastructure is starting to move ahead. And so there's a lot of both the small project local activity, and that's a big business for us, as well as a fairly pretty significant number of big project opportunities both in North America and in the U.K. So those are, I think, very strong positives for the infrastructure business, transportation-infrastructure in particular, as we look forward, and that hasn't been the case up until recently. And then you add to that what we have with SKM, who are a dominant player in the infrastructure business in Asia, particularly strong in Australia, very strong water infrastructure capability, which we think both represents leverage for us in North America and the U.K. but also represents a significant growth opportunity in the U.K. as well. Now one of the reasons we're as positive as we are about the acquisition of SKM in spite of the general attitude that Australia is on a downer, is that SKM has done a terrific job of positioning for parts of the business in Australia, so they're going to continue to grow. And so our outlook, as you go across now, the whole infrastructure market globally is really -- is where that upbeat statement comes from, I guess, in that context, but I couldn't give you a list of specific opportunities that we think drive that. Again, we're not really driven by big events.
Matthew Rybak - Goldman Sachs Group Inc., Research Division: Sure. From a timing standpoint the big project opportunities in the U.S. that you just referenced, are those middle of the year, end of '14, or how do you think about those from a timing standpoint?
Craig L. Martin: They're pretty well distributed quarter-by-quarter. So we'll see a few big events in this current quarter, we'll see a few more in the third quarter, and fourth quarter -- our fiscal quarters I'm talking about. There's a whole series of big jobs that just kind of are flowing into the industry and into competition and into selection, and we expect it more than our share.
Matthew Rybak - Goldman Sachs Group Inc., Research Division: And then just to switch gears really quickly, you mentioned $800 million in backlog contribution from SKM. Can you maybe talk about how you're thinking about book-to-bill for that business over the next 6 to 12 months?
Craig L. Martin: Yes, I think you will see -- because of the nature of the business having a high degree of consultancy, that book-to-bill will tend to be shorter in terms of the relative duration, and so book-to-bill will be in that 1.05 to 1.10 range.
Operator: And next we have a question from Andrew Kaplowitz of Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: Craig, I just want to clarify something on field services. Would you clarify -- would you say that the field service business is then accelerating and we just can't see it? And maybe you could talk specifically about the oil sands business because I worry about that business a little bit in terms of it still being kind of lethargic.
Craig L. Martin: I don't know whether I would say accelerating because that would, I guess, have to be relative to my expectations for it. What we are seeing is projects get sanctioned both in the U.S. and in Canada. And those projects being sanctioned to move into the full scope of delivery, so detail design, procurement and construction. We're seeing that I think pretty much in line with what we've been saying about how good the markets are. So while you might characterize the oil sands as tepid, that's certainly not the way we see it. We wouldn't call it tepid at all. Maybe it's because we're winning more than our share. But overall, the projects are getting sanctioned. They are moving forward. The business of being careful about authorizations in terms of releases that push some of this work out, that's still out there. I think our customers in the oil sands, in particular, are going to continue to be cautious how much they authorize and how fast they do it. But I think that market's continued to move along pretty positively. George Kunberger, our head of sales, is here with me. George, do you want to comment?
George A. Kunberger: Yes, Craig. I think relative to the oil sands, the amount of activity that we're seeing is not so much driven by big, major capacity expansion at the processing level, although there is certainly some of that. But there is a tremendous amount of effort and money starting to be spent on reducing the cost of capital and improving the efficiency of the oil sand collection and distribution and taking to SAGD facility. A lot of -- from, specifically in the form of well pads. A lot of our customers are looking to lower their overall cost, to begin with their capital investment, and more importantly, their [indiscernible] efficiency of how they operate those facilities. There's a lot of capital being put into that. Those don't necessarily get a lot of publicity as far as big fuel capacity expansion, but there's a lot of money being spent. The next thing, that whole concept, that approach will fall over into the design and construction of the SAGD facilities as well as far as standardization of design, getting standard specifications so we can go on a global procurement across various customers. So that's where all the efforts are being spent, and it is a lot of money, and that's where we're playing a big part of in '14 and probably in '15 as well.
Andrew Kaplowitz - Barclays Capital, Research Division: Maybe if I could just shift gears and ask you about margin in a certain way. Like, when we look at the quarter, it is kind of noisy because of SKM. So maybe, Craig or John, you can talk about the salary multiplier and the overtime and billings and all these indicators that you usually look at. Is pricing getting better still? Is it marginally getting better? And do you see your margins snapping back to sort of where it was before the quarter, that high 5% range given the noise in SKM should die down?
Craig L. Martin: Let me start now. I'll ask John to comment. If you look at the trend line for margins, it's clearly improving, slowly and steadily. What obscures that a little bit in quarters like this one is, as I think John mentioned, a lot of field services activity, maintenance activity, turnarounds, disappears between about mid-November and mid-March. And so last quarter and this coming quarter will tend to be -- will appear to be weaker because of that margin than the quarters where we have a lot of field activity. But if you look at the overall trend in unit margins, the trend remains positive and we continue to see a good steady improvement in the numbers. John, do you want to comment further?
John W. Prosser: Yes, I think we're going to see, just because of kind of the turn that's going on and the transition into SKM and the impact of things like amortization of intangibles and such that it certainly has an impact on the net operating margins. The margins might trend a little bit lower than what we were having last year, but they're going to be in that probably in that range. A lot will depend on how contracts are taken in the field services. If we get a lot of [indiscernible] costs and such, that'll have a little bit more of a dampening effect. If we get a lot of these bigger projects, bigger activities that are going on and are more on the client's paper and so we're just managing them. And it's -- the more professional services, the margins will still be the same amount of dollars so that you'll see a little bit higher. But somewhere in that mid-15s, there's probably something running a little 7 [indiscernible] for the next -- this year.
Operator: And the next question is from Vishal Shah of Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: You talked about improving oil and gas segment, particularly gas monetization and some of the derivatives work. Can you talk about timing of some of those project as you see them? And also on -- if you could talk about your utilization rates currently as well as any comments on the level of competition and the current bidding environment.
John W. Prosser: Sure. With respect to the gas monetization and all the derivatives work, we continue to get awards of pre-FEED and FEED work on an almost continuous basis. And as I said, we've had several big programs get authorized to go into detail design and to execute as we described it in the industry. There's a tremendous a backlog of opportunity still out there. We don't see any reduction in the planned spend of our customers. It's all just driven by how much can they get out and get started at a time. And to some extent, some of the pace here is governed by the customer's own availability of staff. But it's still very robust market and I think you'll see awards on a continuing basis, at least the kinds of projects that we're following every quarter as we go through the next couple of years. With respect to utilization, utilization is good. We continue to run it at historic utilization levels, so that's a positive for us. And I don't see any reason to think that there's any issue there. I think we are going to continue to see slight improvement in margins as a result of that. People are winning work and starting to load up, but I don't think it's at that point where it's going to be any dramatic increase. That's also very geographically dependent, so some parts of the world margins are still a prizefight, other parts of the world, not so much. So it's kind of a mixed bag on a global basis. Does that answer your question?
Vishal Shah - Deutsche Bank AG, Research Division: It does.
John W. Prosser: I need to go back to clarify this thing that I said. When I said the mid-15s, I was talking about gross margins, and I was talking about operating margins. The operating margins will be in the mid-5% range. I just want to make sure because I kind of switched the nomenclature midstream without clarifying it. I figured I better clarify.
Operator: And our next question comes from Brian Konigsberg of Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: Maybe just to follow-up on that comment, John. I know there've been a couple of these questions already. But when you talk about the mid-5s, are you saying the rest of the year should be in the mid-5s, or is the full year should be in the mid-5s suggesting you're kind of exiting even closer to 6 and then you have a nice tailwind to '15? I just want to make sure we fully understand that.
John W. Prosser: Well, I mean this first quarter was -- had a lot of negative impact from the closing cost and such like that. So I think the rest of the year will be in that range, and the total year will be close to it as well. Obviously the rest of the year will be a little bit higher than the total simply because it will be dragged down a little bit. But mid-5s, it could be 5.6 versus 5.4 or something like that.
Brian Konigsberg - Vertical Research Partners, LLC: And just on SKM, if you can, can you just provide a little granularity? So the $800 million that was contributed in the quarter, can you tell us how that trended specific to SKM quarter-over-quarter and year-over-year? And was that all industrial?
Craig L. Martin: No, it was spread across all 3 of the market sectors, predominantly in the industrial and public and institutional sectors. A tiny bit went into the process side. The backlog is consistent with its historic levels, shows steady but not great growth. Remember Australia on the mining and minerals side has really struggled over the last year or so. But we see the backlog as -- for SKM as the positive for our outlook as we go forward, and there's nothing about that, that suggests we need to revise our thinking about its contribution in the next couple of years.
Brian Konigsberg - Vertical Research Partners, LLC: Got it. And just 1 more. On depreciation, so that expense actually has come up I guess, meaningfully over the last 4, 5 quarters or so. Maybe you can just explain why that is and should we expect that trend to continue? I understand why amortization should be ticking up but why is depreciation coming up?
John W. Prosser: If you looked at our capital spending over the last couple of years, it has been a little bit higher than trend. We've had a number of facilities that we've moved into larger facilities as we've grown and consolidated to get more efficiencies out of the existing facilities, so that's been a higher than normal trend. If you look at just going forward, obviously, there'll be some consolidations over the next couple of years as we look with the SKM offices where we're in similar places but we don't have a great number of leases that are coming up, particularly this year and even into '15, so you won't see that kind of activity. The other thing is we've had a little bit higher than trend line because we have invested as we've done some acquisitions with Aker and such, there's been more investments in IT services. When we typically have to upgrade, the IT within the organizations we bring in just sort of self-operate in our systems and have the level of capacity and such to run our systems and such but we've also been investing in some project controls and such to get better products there and integrate that globally. And over the next couple of years, that kind of spending will probably continue at that little bit elevated pace just because of the acquisition, the integration of SKM and the fact that we will be going through an upgrade on our ERP system and that there's a new generation of our Oracle system that will need to be implemented that will be a little bit higher cost in the -- or more capital cost over the next couple of years. So I think you'll see that the total number coming down from our capital spend because of the leases and such like that, but some pieces like some of the IT and technology spend will still be maybe a little bit above normal. And of course, the amortization cost will be up once -- when you see a full quarter of SKM with the amortization intangibles and such like that. But when we give guidance and are saying that SKM is going to be accretive over the balance of the year, that is net of all those kinds of costs, including integration costs and the amortization intangibles and the interest we're paying on the debt that we used so far.
Brian Konigsberg - Vertical Research Partners, LLC: Do you have an estimate today you could provide how much of additional amortization will you expect in Q2 through the rest of the year?
John W. Prosser: Right now, our preliminary -- and we're still obviously -- there's a period you go through to look at this but it's going to be somewhere a little bit around $5 million a quarter.
Operator: And then next question comes from Michael Dudas of Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Craig, turning to your backlog chart, just maybe a conceptual question. As I look at the pie chart, where do you think over the next couple of years, which one of those single digit contributors to the backlog will become double digits over the next couple of years? And is it fair to say that the U.S., federal and the infrastructure portion of the whole company will decline as a percent because of these international infrastructure opportunities and other private sector opportunities as well?
Craig L. Martin: Ask the second part of your question again, Mike.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: In that pie chart, the U.S. federal business and maybe the U.S.-oriented infrastructure businesses, would that shrink as a result of other areas growing, I guess, is my question.
Craig L. Martin: Okay. Let me start first with -- I'll speculate with you on where we might see pies go to double-digit share. The 2, I think, have good chance of doing that are mining and minerals and the oil and gas. Both are sitting around 7% and 8%. I think mining and minerals, as we bring in revenues from SKM and as we continue to succeed in growing the business and getting this genuine [ph] presence kind of work should move over the next 12 months well up into the 10%, 11%, 12% revenue. The same with the oil and gas business. While it isn't showing up in terms of growth yet, we're doing a good job of taking position in the unconventional gas business and we've done well in the U.S. and we continue to leverage that globally. So that's another business that's plus or minus 7% today that I think could be a much more significant part of our revenue in a year or 2. But I think that answers your first part of your question, does it?
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Yes.
Craig L. Martin: Second part of your question, I think what you'll see with respect to that whole part of the pie that is public institutional, that its relative share will stay about the same. And my reason for that is that while the U.S. part of it as a share will probably be a smaller percentage, we're picking up a fairly significant share of that market from SKM in all of Asia Pacific. We're seeing a rebound in the business in the U.S. and the U.K. and so overall, I don't think that the whole public institutional piece, buildings, infrastructure and national governments will shrink very much. I don't think it will grow very much either. With respect to the national government's part, we're picking up a stronger position in Australia and in the defense market and of course, I'm very upbeat about the expansion of our position in the nuclear industry in the U.K. So I don't -- again, I don't -- the U.S. share of that national government's market probably won't grow a lot, maybe a little bit but the overall national government's market will be stable or slightly growing.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: And is there a big difference or delta in operating income from those services, international versus U.S.?
Craig L. Martin: Probably not beyond -- we might see it as a big difference. I doubt it. When you see it at the bottom line, it's a big difference, if you know what I'm saying. Because cost to serve and those things make a big difference as you go around the world.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: My second and follow-up, Craig, is I think you mentioned this either in the last call or in the meetings you had here in the East Coast late last year, 2014 from an acquisition standpoint, probably more of a digestive year even though you'll be active in maybe some of these niche opportunities. Is it likely that, that's the case or is there a chance we'd start to see more G&A, higher expenses because we're getting the bankers ready to make another major acquisition later this year for 2015? I just wanted to get a sense of how you're thinking about that.
Craig L. Martin: As I sit here today, there are a couple of things out there that are interesting. I don't know that they're bigger. I don't know that any of those are going to actually mature into an opportunity for us or anybody else. So I'd say that our expectation for the rest of this year is probably mostly niche acquisitions going forward and if there's -- and if we start to see things that have -- will have a bigger impact on the numbers or that are -- would have a big impact on the business, we'll signal that I think, pretty clearly before we get too close.
Operator: And the next question is from John Rogers of D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: First, just in terms of the tax benefit that you saw in the quarter, was that all in the tax line or John, you mentioned some interest recovery, I'm just -- I mean, what does that imply for the tax rate for the rest of the year?
John W. Prosser: Part of it was in the tax but the bigger part of it was actually in the interest because we've been accruing interest on the tax liabilities and this tax case that we got a favorable ruling on goes back to the mid-2000s, so it was like 2006, '07. So there's been -- the tax -- the interest that was accrued on it was much higher than actually the tax liability, just because of the rate. So in round numbers, I think it was about -- and this will all be in the Q but I think it was about 2.7% that was in the tax line and about 4.1% that hit the interest. And what's funny, because it's a reversal of interest expense, so interest expense is actually a benefit for the quarter.
John B. Rogers - D.A. Davidson & Co., Research Division: And then Craig, back to your original comments on gas monetization. In the past, you've talked about small LNG. Is that still a market opportunity for Jacobs and what are you seeing there?
Craig L. Martin: We believe it is a market opportunity for Jacobs. We're involved in some high potential feed work in that area. Whether that will turn into real projects or not, I'm not that confident yet but I think, as I may have mentioned on a call before, because we're not seen as an LNG player, we're seen as somebody who could be innovative about small LNG and I think that gives us a really interesting position in that aspect of the market.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay, but it doesn't sound like anything material near term, I just want to clarify that.
Craig L. Martin: I don't think we have anything in the short term that would have -- would be a big event.
Operator: And next, we have a question from Tahira Afzal of KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is bringing on [ph] Jacobs pre-SKM in a sense, if you look at the organic growth on the revenue side, even outside of SKM and I know the contribution was very little in the first quarter but you saw 10% roughly of revenue growth. So I guess, my question is Mr. Prosser pointed to second half seeing potentially stronger growth as some of the field services projects are released. Could we see revenue growth organically, pushing that sort of 10% to 15% range, would that be a possibility?
John W. Prosser: We don't actually forecast revenues but typically, our first quarter revenues are down a little bit from the fourth quarter just because of the holidays and the activity level was down. If you look year-over-year, we're actually up about 8%, 9% in revenues on a quarterly basis. So I think we'll be adding in 3 quarters of a year for SKM, that will certainly add to the revenue. But even on an organic basis, we would expect to see growth. Whether it gets up to into double-digits by itself, that's hard to predict. A lot of it will depend, again, even on the field service activity, whether we are putting it through on our paper or on somebody else's paper. In which case, it could have some -- either way, it could have a material effect on the revenues and growth and such. But either way, it would have a positive impact on the margin dollars.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Second question is on SKM. I'm not sure if I missed this but did you folks gave an accretion amount on a GAAP basis now that you have all of the amortization numbers I assume, finalized? And that would be helpful.
John W. Prosser: We have not and we aren't.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Okay. That was a quick one for you guys. Third question is, just going back to the questions, I think, Mike Dudas and John Rogers have asked, so kind of melding them in a sense, if you look at power, I know there's some very nice technology companies there that are employee-owned and I assumed employee base is growing slightly older. Market's done well, could those be -- are those opportunities in terms of profile becoming more interesting for you from a, let's say, the next 2 to 3 years perspective? And on what John Rogers asked about small LNG, there seem to be some niche LNG technologies there that are being sold by small private companies even, could that be something you're looking to do or see [ph] leverage yourself into that market?
Craig L. Martin: Let me go to the power business first. You're right, there are a number of nice sized, privately held firms who have good positions in the power industry and whose positions are very consistent with our relationship-based business model. And to your point, they are -- the ownership, the leadership is aging and that does usually create -- seeming [ph] opportunities for us. But remember that these acquisitions are always opportunistic, we have to have a willing seller, as well as a willing buyer. So we continue to stop by and visit those folks and make sure they know we're interested and that we would love to have them be a part of the future. And sooner or later, one of them will say yes but it's just impossible to predict when that might happen. With respect to the LNG side, most of what we see right now is not really a technology play in the sense of technologies for gasification. It's much more a play in terms of knowing how to modularize small facilities, small projects and being able to deal with the aspects that go with that. So I don't know that we'd be out looking for any small LNG technology companies. Again, we're really not trying to be in the technology supply business but much more in the honest broker engineering know-how side of the business.
Operator: And then next question is from Andrew Wittmann of Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So maybe John, you kind of alluded in some of your earlier comments about kind of the back half being better and I think you said at the time that there's probably some ramps maybe in the top line. How much of that back half ramp might also be caused by I guess, integration costs with SKM just -- that are happening right now in your second quarter and is that going to kind of keep the earnings growth kind of muted here in this quarter?
John W. Prosser: No, the integration costs will be something that will be with us actually probably over the next 12 to 18 months, particularly in some of the systems development side and things like that. And so having a bunch of cost that would be in the second quarter falling off is not going to be what drives us; I think it's our historic business moving up. Now, there'll be a little bit of that but that's going to be ongoing and it's not all going to happen in the second quarter. Some of them, because we get into consolidation of space and things like that, might be 6 to 12 months or even further away. So I just have to -- because of the nature of our businesses, it's not like we're going to run out and fire a bunch of people or anything like that because what we bought were people. And so the idea is that the integration costs or margins, getting people onto our systems and getting them trained, getting -- looking at all the SKM systems and what are good lessons learned there that will be incorporated into our practices and things like that. So it's not going to be like it's a big bubble in the second quarter then drop off.
Craig L. Martin: It will taper over time.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Sure, sure. I want to also dig in a little bit on EBITDA margins. We've kind of talked about EBIT margins. We have a little bit more insight on amortization but SKM was clearly a much higher margin business. I think it's been reported as kind of a mid-teens kind of EBITDA margin. Just from a mix effect, should have 10, 20, 30, maybe 40 basis points of kind of the EBITDA margin improvement. I guess, the question here is, one, would you say that, that's true? Is that kind of math the way thinking about the impact of SKM true? And maybe a more specific question, can you also give us the increase in depreciation so we have the full D&A contribution from the SKM deal?
John W. Prosser: There'll be some of that disclosure in the Q and such. I'm not going to go through it line by line today. In fact, I'm not sure the depreciation number will be in the Q but the amortization number will but I think those will just check themselves out. There are no -- the numbers for depreciation are not material, so it's not going to be like it's out of line with what their revenue and operational contributions are. As for their margins, how they reported their margins were a little different than how we report margins. So when you look historically back to some of the information that was the public disclosures on them through the acquisition of what worth [ph] and things that have been on there, there were some things that we typically show as pass-through costs that they didn't include in revenue that would have had a -- doesn't change the margin numbers at all, just changes the percentages a little bit. So then when you throw in the amortization intangibles and things like that, which they didn't have and such, that brings them down. So their margins were not significantly different when we actually worked through them than ours on a kind of a same structure basis and so it's not like they're going to pull ours up or...
Craig L. Martin: Or down.
John W. Prosser: Or down.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So the numbers that were kind of talked about were what we'd call kind of a net revenue basis. So when you do look at the gross margin, it's much more similar?
John W. Prosser: Yes.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Makes sense. And then Craig, just one kind of last question, you talked in November about the potential that you're kind of tracking $20 billion plus type projects. Can you just talk about the evolution of that? I know it hasn't been very long yet but is that list growing, shrinking, do you feel better about those odds? Can you just give us some commentary on the large projects that you're tracking today?
Craig L. Martin: The list is growing. So there can be new additions to the list and we've had some unannounceable success in winning some of those. So the story is good, I just can't tell it to you.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So the stuff that you're winning right now is still feed on these larger projects, and is that a fair assumption and do you think [indiscernible] to follow?
Craig L. Martin: Yes, but in some cases, the feeds are gigantic.
Operator: And the next question is from Will Gabrielski of Stephens.
Will Gabrielski - Stephens Inc., Research Division: A couple of questions. First, can you just talk about -- it sounds like you're booking less pass-through, which is why we're seeing field services backlog grow a little bit more slowly but in terms of revenue contribution, pass-through's a bit higher over the last 2 quarters than we saw over the prior year. So how do you see that trending in revenue over the next year or 18 months based on the bookings composition today versus what you're burning off? Is there a shift there or does it stay pretty static?
Craig L. Martin: I think in the near term, you will see less pass-through being burned off because of some of the issues I just described and because an awful lot of the business that we're actually executing today is FEED and similar work. So part of what you're seeing in terms of backlog, we're booking less pass-through and we're working off historically booked pass-through, that's why backlog goes the direction in field service as it goes and I think you'll see that effect pass through revenue as you look out over the next few quarters. Did I say that right, John?
John W. Prosser: Yes, and the other thing is that in this -- our first quarter, some of the things that get kind of moved around for the holidays tend to be maintenance turnaround activities they get -- and those don't have as much pass-through in them because that's more direct-hire in our own cost as opposed to big field construction where we might have some direct hires but we also do a lot of it through subcontractors and there's material and equipment that flow through there. And actually, some of the pass-throughs -- not all pass-throughs are field services, some of the pass-throughs actually are related to some of our government contracts and professional services, subcontractors that we have, particularly in some of our teaming arrangements and stuff like that on -- with the government and the public sector.
Will Gabrielski - Stephens Inc., Research Division: Two questions on North American refining. The first being there's been a lot of talk about the delayed and deferred maintenance over the past few years and just the refineries are still making a lot of money. Are we close to seeing any type of big maintenance cycle that could benefit you? And then the second question around the Tier 3 refinery standards, outside of yourself and the EPA last April, I can't find a lot of industry conversation about when those are coming and how real they are. Can you just give some color about the engagement you have today with the customers on those projects and when we can start to see that impact the business more materially?
Craig L. Martin: Sure. In fact, I'm going to ask George Kunberger, our Head of Sales, to comment on that.
George A. Kunberger: So on the Tier 3, what's been happening in the last 6 months, and this is way more technical than I can probably accurately explain, but in general, our clients have been able to buy and trade credits that manifest themselves in the form of extending the deadline for when they need to be compliant with the new law. So from the end of 2017 out a little bit, maybe even in some cases and it's different with each customer as far as even '19. And so as a result nationally, since to a large extent, these are non-ROI projects, then the clients are delaying those. But as a case by case thing, it's not a fraud issue. The second thing that you're seeing going on with the Tier 3 is naturally, if you're going to spend that kind of money to modify the refinery, they're going to see what they can do to also improve its efficiency and even its capacity. So you've got some reconfiguration and we're looking at these projects that will not only deal with the Tier 3 regulations but also what they can get out of that money they're going to spend, as far as improved profitability. But it's really -- so they are definitely being stretched out, that's for sure and that's why you haven't seen as much, probably, excitement about those particular projects in the last 3 -- last quarter as you did midpoint of last year.
Craig L. Martin: The other aspect is that most of the folks you hear from, at least in our industry, are focused on big events. And these won't be big events, these are $100 million, $400 million, probably averaged about $200 million in size. And so I think even though it's very attractive work, most of our competitors aren't going to make a big noise about it because it isn't big project stuff, unless of course it's absolutely right at the center of our business.
Will Gabrielski - Stephens Inc., Research Division: Can I just push on that point before you get to my second -- the second part of my question? But just within that comment, I'm not necessarily referring to the competitors because CB&I actually did mention it last quarter. What I'm referring to more is that the refiners themselves who all hosted Analyst Days in December, I would've thought -- I mean, $16 billion over a short number of years for the North American refining industry is still a pretty decent spend for that industry. So I'm just wondering why they're not making a big deal out of it or if they're just sort of because they've been able to find some wiggle room, maybe as you're saying, that they'll just defer disclosing that until the last possible moment?
Craig L. Martin: I think it's partly is we were -- I'm speculating here, I can't pretend to understand why oil companies say what they say. But I think that might be part of it. I think there is some belief that they're going to get some relaxation from the EPA on these standards and there's no money in it for them. And I don't know that if I were in that business, that I'd spent a lot of time telling you how much money I was going to have to spend to get no return.
George A. Kunberger: Well, I think you do the math on what you just said, $15 billion divided by 85 refineries, you're still talking about a couple hundred thousand -- a couple hundred dollars, tops in over 2 or 3 years, so I think all of that plays if I were to agree with Craig.
Will Gabrielski - Stephens Inc., Research Division: And then sorry, just my second point on the maintenance season that's coming up, visibility there?
Craig L. Martin: Yes. We see a lot of activity and maintenance. It has been improving steadily, frankly, since the big turndown in 2008, 2009. And I have every reason to think it's going to continue to do so. The summer, or spring and summer turnaround activity looks good to us as we sit here today. But of course, turnarounds can be deferred almost on a moment's notice, depending on what's happening in the industry in terms of capacity and production. So I think the outlook is good and getting better but it is a day by day business.
Operator: And next question is from Robert Connors of Stifel, Nicolaus.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: Just real quick. With a couple of the ethylene crackers already awarded in the backlog, some of you may get a 4 Tier by the time we exit first half '14. Just wondering what your customers are saying about the timing of field construction awards of where you guys are going to participate some of the polyethylene and offsite and utility work.
Craig L. Martin: A lot of the derivatives work is being completed as we speak. So I think we'll start to see pre-feed, feed signs of activities around those ethylene units over the next couple 3 [ph] quarters. The cycle for construction is in that 3 years, maybe a little more. So you can expect big field services activities, probably another 12, 18 months out.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then also, you may have just answered this on a previous question, but wondering where you're best positioned, whether it be end market or geography to deliver your direct-hire capabilities, is that mostly on the maintenance side?
Craig L. Martin: Well certainly, maintenance is a strong capability for us as a company and so the answer to that will always partly be yes. But I think the construction business, in terms of direct hire on the Gulf Coast is going to be another source of pretty significant activity for us, as well as the unconventional gas business onshore from Texas to North Dakota. So of course, Canada is also a big field services as one of my guys just pointed out. Another big field services aspect for us, we've just won some fairly significant work in that area, probably be a press release here in a week or 2. And we continue to see that as an ongoing growth opportunity, a lot of field services activity. George's comments about all these well pads is a pretty significant amount of business. Does that answer your question, Robert?
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: Yes. And then, I guess if I could squeeze in 1 more sort of housekeeping. Over the summer obviously, we saw the Indian currency really de-value and you guys have one of the largest presence in engineering in India. Just wondering if you're seeing a little bit better competitive positioning and pricing environment there because of that?
Craig L. Martin: For the most part, Indian engineering for these sort of work share projects globally are all priced in dollars. So the benefit's actually more to the margins than it is to the competitiveness.
Operator: And the next question is from Stewart Scharf of S&P.
Stewart Scharf - S&P Capital IQ Equity Research: Could you talk a little about the consolidation in the industry and just more of your long-term thoughts on foreign investments, for instance the Foster Wheeler deal and Shaw was acquired, just your thoughts on the competitive landscape regarding the increase in foreign acquisitions and overall [indiscernible]?
Craig L. Martin: Well, I have believed for some time and I continue to believe that our industry needs to consolidate and it will continue to do so and I think we will see both small consolidations, a lot of the things Jacobs traditionally has done, midsized consolidations like the SKM deal for us and then I think there's still a potential for some fairly significant -- not sure of public companies but public company scale businesses to be acquired as well. Whether that money comes from combinations of U.S. businesses or some businesses, the European or Asian with U.S. businesses, I don't know that I can predict that. I don't think anybody found the Foster Wheeler thing particularly surprising, except at least maybe a little to me at least, the price. But I think that we're going to see more of that because I think there are more companies out there that don't have the market diversity or the geographic diversity they need to survive in the competitive marketplace in the future.
Stewart Scharf - S&P Capital IQ Equity Research: And just on the SKM $0.10 charge in the quarter, how much of that is transaction cost? Could you break that out?
John W. Prosser: We actually do break it out in the Q, which will be filed today or tomorrow, but the biggest part of that is the transaction costs. When you get in the amortization and things like that, it's probably 1/3, 2/3.
Stewart Scharf - S&P Capital IQ Equity Research: 2/3 transaction?
John W. Prosser: 2/3 transaction, 1/3 just the results of operations and the interest in amortization.
Operator: And the next question is from Steven Fisher of UBS.
Steven Fisher - UBS Investment Bank, Research Division: I got on the call late so apologies if you've covered this already, but the 20 large projects that you've previously talked about, beyond the FEED aspects of them, do you think you could book some of the bigger EPC pieces of that this year?
Craig L. Martin: Well, I don't know if you were on the call on for the discussion about whose paper we're going to be doing some of these big projects on. I think that we will see some of these big projects go in to execute in the next year. So in one sense, I'd say yes, in the other sense though, in terms of whose paper the procurement or construction activities might be on, there's a lot of uncertainty about that. We've got a couple of these big jobs that we've won already and the size of the booking is a bit very dependent on what the customer decides to do about whether it's on our paper or their paper. And of course, there is also the direct hire aspect to that, whether or not we do the construction. So I see some of those projects definitely going in to execute, I just can't tell you what the dollar impact on our backlog or revenue might be, though these other issues are sorted.
Steven Fisher - UBS Investment Bank, Research Division: But even if it's less on the backlog and revenues, you probably have a better earnings mix because of higher margins?
Craig L. Martin: It will appear to be higher margins. In terms of absolute dollars, it will be about the same. The exceptions of that is when we do direct-hire construction and that carries an additional margin flow of its own.
Steven Fisher - UBS Investment Bank, Research Division: And then on cash flow, not sure if you talked about that but is there any reason to think that your free cash flow won't approximate net income this year or probably even be a little bit better than that, given additional amortization you might be incurring?
John W. Prosser: I think that will be true and we've worked really hard on focusing on getting our receivable levels down. As they've grown here, particularly as the market got more pliant -- favorite [ph], some of those terms got stretched out and such so I think that as the markets starts turning a little bit more in our favor, particularly on some of these big jobs, then as we move into the field and to the procurement, we tend to get much better cash flow terms on those contracts than just on the pure professional services as we'll get the advance notice. At the past, the profit is at least a 0 balance funding so that you have much better receivable collections on that. So I think we should be pretty close to what has always been kind of our target and our expectation that our bottom line will turn into cash. So that cash, a lot of that will be used to continue to pay down debt or rather, small acquisitions and such like that.
Operator: [Operator Instructions] And our next question is from Rob Norfleet of BB&T Capital Markets.
Robert F. Norfleet - BB&T Capital Markets, Research Division: In terms of the recent acquisitions you all announced, the FMHC, obviously giving you exposure to the wireless telecommunications market. Can you kind of talk a little bit about the opportunities you see to take market share in that market? And then I guess, over time, do you see yourself being a big player in this market either through obviously, additional acquisitions or just roll-offs?.
Craig L. Martin: Yes, the markets are very interesting markets. There are a couple of decent size players, by that I mean, multi-hundred million kind of revenues. One public, one not public, when I think of the 2 biggest. I think there's plenty of room for another major player at that multi-hundred million, billion dollar plus kind of revenue club because the vast majority of work in that industry is still done by what I'll characterize as mom-and-pop operations. And there's a lot of inefficiency created by that. There's a lot of desire on the customer's part that have a 1 source kind of go-to operation. So in our outlook for that business, is very high. We're going to sign a key executive and exclusive with that business to see if we can't drive it faster rather than slower. I'm looking at him as I'm saying that. And we'll do that through or a combination of organic growth, some niche acquisitions and if we find the right one, some slightly larger acquisitions. Most of the businesses that are out there to acquire are going to be small, so they won't be a lot different than FMHC was, to maybe twice that size. So half that size to twice that size will be the typical acquisition, but there's a lot of opportunities to do that. So it's a combination of roll ups, maybe there's a big deal to do in organic growth but I think this is one of those places where we get very rapid growth.
John W. Prosser: This is what, the third or fourth one that we've done in that space over the last couple of years, so it's not like this was something that we've been continuing to grow in and we see the opportunities to grow more.
Robert F. Norfleet - BB&T Capital Markets, Research Division: And just secondly, John, just a quick question on working capital. Obviously, it tends to be lumpy throughout the year but what should we expect with SKM for the trend for working capital to be in 2014?
John W. Prosser: Well, I think that as we get better on collecting receivables, our total working capital should come down a little bit but -- and we'll generate cash and we'll use that cash probably to -- most likely to pay down debt or for other acquisitions. So I don't see that working capital is an issue one way or the other.
Craig L. Martin: I'd say that SKM historically did a good job of billing and collecting and I don't think there's any reason to think that will be in different going forward.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Craig Martin for any closing remarks.
Craig L. Martin: I want to thank you all for dialing in and listening to our story. I hope we've answered your questions. If we haven't, I know you have Mr. Prosser's phone number and he'll be glad to spend the next couple of days talking to you. Have a great week. Thank you, operator.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.